Operator: Good day, and thank you for standing by. Welcome to the Casella Waste Systems Fourth Quarter 2023 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Charlie Wohlhuter, Director of Investor Relations. Please go ahead.
Charlie Wohlhuter: All right. Thank you, Victor. Good morning, and thank you for joining us on the call today. With us are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Ned Coletta, our President; Brad Helgeson, our Chief Financial Officer; Jason Mead, our Senior Vice President of Finance and Treasurer; and Sean Steves, our Senior Vice President and Chief Operating Officer of Solid Waste Operations. Today, we will discuss our fourth quarter and full year 2023 results, which were released yesterday afternoon. After a review of these results and an update on the company's activities and business environment, we will be happy to take your questions. But first, please note that various remarks we may make about the company's future expectations, plans and prospects constitute forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today, February 16, 2024. Also during this call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures to the extent they are available without unreasonable effort are included in the appendix of our investor slide presentation, which will be available in the Investors section of our website at ir.casella.com. And with that, I will now turn it over to John Casella to begin our discussion.
John Casella: Thanks, Charlie, and good morning, everyone, and welcome to our fourth quarter 2023 conference call. This was an exceptional year for the company and illustrates the success that we continue to have in terms of executing against our key strategies. I'm excited about the opportunities that lie ahead. First, we will highlight our performance for the year. Then I'll pass it on to Brad and Ned, who provide more specific comments around our results and strategies. Our performance in 2023 reflects the successful investments we made across our business, deploying capital for return-driven growth. Our focus on our people and operations is helping us improve safety and turnover, while delevering exceptional service -- delivering exceptional service and driving more productivity. We're also experiencing notable operating benefits from our Boston MRF following the full equipment upgrade this past summer. I'm also excited to announce that we have similar plans to fully upgrade the processing equipment at our Willimantic, Connecticut recycling facility later in 2024. We continue to invest in and further modernize our sustainability infrastructure. Our disciplined approach strikes the right balance between economic returns and providing benefits to the environment. As I noted in our press release yesterday, completing seven acquisitions was an exciting and notable achievement in 2023, given the size and the new markets we've entered. I'm very encouraged by the early results of our Mid-Atlantic region and other acquisitions that we completed in the year. A real shout out to the Mid-Atlantic team to Kyle and his team who have done a terrific job of integration and bringing the Mid-Atlantic up to speed in terms of the Casella culture. The level of engagement of our new team members is really impressive, which helped facilitate the transition and integration process. It includes implementing our strategy, developing our sales approach and evaluating acquisition opportunities. Really like the growth runway we see ahead for the entire business. In 2023, our operating initiatives in our base business combined with our growth strategy allowed us to post double-digit growth across key financial metrics. Revenues were up over 16%, adjusted EBITDA growth topped 20% and for the second consecutive year, adjusted free cash flow growth was up 15%. We expanded our adjusted EBITDA margins 70 basis points, which was an indication of the strength of our operating and pricing programs. We closed out the year on solid footing in Q4 with 17% adjusted EBITDA growth in our base business and over 200 basis points of margin expansion. As we look to 2024, we have a strong balance sheet, ample liquidity and are in an excellent position to support further growth in our business. I'd like to provide a few related comments on the execution of a few of our key strategies and some of the performance of our operations. As you know, a key part of our strategy is improving returns across our disposal assets and our operating programs have really made this possible. Despite volumes being down year-over-year in 2023, we were able to drive higher adjusted EBITDA. This is a testament to our team and the focus on getting the right tons at the right price, improving the mix of our inbound streams, helping to drive our average landfill price per ton up 9.8% in a year and helping to offset the headwinds from lower disposal costs -- lower disposal volumes, excuse me. We remain committed to expanding margins and drawing higher returns across our landfill assets. On the collection side of the business, I'm especially proud of what we're doing to strengthen our employee base that is enabling us to be safer and more engaged team, resulting in higher returns in this line of business. Yes, ongoing technology investments like adding automated trucks, route optimization, software, onboard computers are driving safety and operating efficiencies higher, but the direct investments in our frontline team are equally as important and valuable. Sean and that team have done a terrific job of supporting the field and really driving our cost of ops down. Over 200 students have graduated from our CDL School since starting the program. We're seeing great outcomes, particularly in lower turnover rates among our graduates in our CDL program. While we're only a couple of months into our new diesel technician program, 20 students have received their certificates so far and these people-focused initiatives promote greater stability and safety and quite frankly, the results show it. Our company-wide turnover rate is down nearly 20% year-over-year in 2023, while key safety metrics such as TRIR improved. As our execution against these key metrics improve, so often does the performance as a company. Probably the most significant thing that I'm proud of is throughout the immense growth that we had in 2023, we were able to bring our turnover down and improve our safety record, a real tribute to the entire team. And finally, resource solutions. As I mentioned before, sustainability is woven into the framework of the company and is an area we continually strive to enhance. Similar to our upgraded Boston MRF which has delivered strong results over the back half of 2023, we are reviewing other facilities where we can improve operating efficiencies and materials recovery. Our next large upgrade, as I said, will be at our Willimantic MRF slated to begin in the second half of this year. Turning to our professional services business, hats off to Paul and Liza. That entire team has done a terrific job of growing our revenues and looking at those opportunities. We won a significant additional business throughout 2023 and see lots of potential to continue to grow this business looking ahead. A key driver of this optimism is the potential of the new market entries that -- what they present for more customers for us to win differentiating our service offerings. Again, a really exciting opportunity for us to really provide those services to those industrial customers in the Mid-Atlantic. Very excited about the opportunities that present themselves in front of us looking ahead. In wrapping up, exiting 2023, I have to say I am so proud of our entire team, our drivers, our mechanics, our division managers, particularly in those states, Vermont, New Hampshire, upstate New York, Pennsylvania, where our teams provided service in the midst of what was a catastrophic flooding. I can talk about for a long time. Some of those divisions that didn't have an operating center, yet they picked up their -- they picked up their customers and took care of the communities that depend on us for service. So a big hats off to the entire service team. They did just a fabulous job in 2023. And when you look across the entire organization from finance, with Ned and Jason enhancing the capital structure to continue to grow the business, Shelley and Sam in permitting, compliance and legal, just absolute unbelievable performance for the year. HR, again, can't say enough about Kelly and the HR team, onboarded 1,000 people in 2023. And probably most importantly, all of the management team has been able to come through core values training and have a real understanding of what it takes to manage at Casella. An extremely exciting year. Very, very significant from a growth perspective, but equally as significant in our ability to bring down turnover and improve our safety record. And with that, I'll turn it over to Brad to go through more specifics on the numbers.
Brad Helgeson: Okay. Thanks, John, and good morning, everyone. I've been with the company for a little over three months now and I'm really thrilled to be part of the team. Ned left some big shoes to fill, but obviously, he remains by my side. Moving on to the quarter. Revenues in the fourth quarter were $359.6 million, up $87.4 million or 32.1% year-over-year, with $71.7 million of the change driven by acquisition activity and $15.8 million of organic growth or 5.8%. Solid waste revenues were up 40.4% year-over-year with acquisition growth of 34.3%, price up 6.7% and volumes down 1.4%. Revenues in the collection line of business were up 54.8% year-over-year, with price up 7.2% and volumes down 2%. Volume declines were primarily a result of softness in temporary roll-off activity and customer churn, driven by our efforts to improve quality of revenue and margins in the residential line of business. Revenues in the disposal line of business were up 8% year-over-year, with landfill pricing up 6.9%, landfill tons down 3.7%, reflecting softness in C&D volumes in the market, while MSW and special waste volumes were essentially flat. Resource solutions revenues were up 8.8% year-over-year with price up 5.2% across the segment and acquisitions contributing 3.8%. Price growth was driven by an increase of 81%, or $45 per ton in our average commodity revenue over the historically low prices of Q4 2022, though this was muted by lower shipping fees that adjust to share higher commodity prices with our customers. Stepping back, recycled commodity prices have ridden a roller coaster over the past two years, with a multi-year peak in the first half of 2022 and trough in the second half, followed by a moderation of volatility and sequential recovery in prices over the course of 2023. Overall, commodity prices were a headwind on revenue for the year, but have now turned positive on a comparable year-over-year basis. But regardless of the direction of prices, the company's model works to preserve returns on its investment in recycling through the cycle, sharing the commodity price risk with our customers via contract structures and our SRA Fee. The past two years served as a really good case study. National accounts revenue within resource solutions was up 4.2% year-over-year. Adjusted EBITDA was $82.2 million in the quarter, up $25.9 million or 46.1% year-over-year with $16.3 million of the change from acquisitions and $9.7 million or 17% from organic growth. At $295 million for the year, adjusted EBITDA came in at the middle of our guidance range has increased at Q3. Solid waste adjusted EBITDA was $74.8 million in the quarter, up $23.5 million year-over-year with acquisition, strong pricing and operating efficiencies driving this growth. Resource solutions adjusted EBITDA was $7.4 million in the quarter, up $2.8 million year-over-year, driven by the benefits of the Boston MRF retrofit and higher commodity prices. Adjusted EBITDA margins were 22.8% for the quarter, which is a Casella record for the fourth quarter, up approximately 210 basis points year-over-year. Again, our pricing programs fully offset cost inflation in the quarter with consolidated price growth of 5.9%, providing 110 basis point spread over inflation which ran at 4.8%, excluding fuel. Inflation has been moderating, but flat sequentially in the quarter and, of course, remains elevated in historical terms. In addition to the 110 basis points from net price, further year-over-year margin bridging items include 140 basis points from improved collection operating performance, reflecting labor and cost efficiencies from our operating programs, improved recycling processing performance, again driven by the Boston MRF retrofit and lower fuel expense, net of fuel recovery fees. These were offset by a 35 basis point headwind from lower landfill volumes and higher leachate costs and a 5 basis point headwind from acquisitions as the acquired businesses have come in at a slightly lower margin pre-synergies than the existing business. This represents a margin tailwind opportunity, of course, as we execute on our integration and synergy plans. Cost of operations in the quarter was up $54.8 million year-over-year, but down 120 basis points as a percentage of revenue as the company continues to outpace inflation on the revenue line and operate more efficiently as I've mentioned. $50.1 million of the increase was from acquisitions. So on a same-store basis, cost of operations was down over 200 basis points as a percentage of revenue year-over-year, which is tremendous performance. General and administrative costs in the quarter were up $7.4 million year-over-year, but down 110 basis points as a percentage of revenue. $5.3 million of the increase was from acquisitions. The company is investing in the G&A line to support our growth, including adding a new region to manage our Mid-Atlantic operations. We expect to gain further leverage here over time as we grow. Depreciation and amortization costs were up $21.4 million year-over-year with $18.3 million of the increase resulting from the recent acquisition activity. As Ned explained last quarter, we expect heightened D&A for the first few years after each acquisition. To put this in perspective, D&A associated with acquisitions was 25.5% of acquired revenues in the quarter as compared to 12.6% for the base business. The P&L included a unique non-recurring item in the fourth quarter that I'd like to take a moment to explain. A $3.9 million charge for an event at our Ontario County Landfill where a layer of soil slid down the veneer of a capped section of the landfill. Nobody was hurt and normal operations were never interrupted. The charge covered the write-off of costs related to the capping work and current period costs for cleanup. Engineering analysis is currently underway to determine root causes and responsibility for the event. Our effective tax rate was 31.4% for the full year as certain non-deductible expenses and discrete items pushed the rate above our statutory rate of approximately 27%. Adjusted net income was $7.5 million in the quarter, down $2 million compared to prior year, with the accelerated D&A associated with acquisitions weighing on earnings. GAAP net loss was $1.8 million in the quarter, impacted by $5.2 million of expenses related to acquisitions and the $3.9 million landfill capping charge. Adjusted EPS was $0.13 in the quarter and $0.94 for the year. GAAP EPS was a loss of $0.03 in the quarter and earnings of $0.46 for the year. The company's acquisition growth strategy is weighing on the bottom line in the near term, with costs incurred to pursue, execute and integrate acquisitions and accelerated D&A impacting earnings. But it's building significant shareholder value for the long term and these acquisition-related P&L headwinds will become tailwinds in future years. Adjusted free cash flow was $128.3 million for the full year 2023, up 15% year-over-year and in the middle of our increased guidance range at Q3. Net cash provided by operating activities was $233.1 million for the full year. This was driven by the improved operating performance, partially offset by the cost of higher debt to finance acquisitions and higher outflows from net changes in assets and liabilities. In that line, DSO was flat year-over-year at 34 days, but we faced a few headwinds from a working capital standpoint, including higher landfill capping costs. Relative to our expectations at Q3, capital expenditures ended up coming in a little lighter as we planned for the heaviest capital spending quarter in the company's history. But delays in equipment deliveries pushed some spend into 2024, which is reflected in our guidance, which I'll discuss shortly. Going the other direction, cash costs for acquisition-related activities came in a bit higher. As of December 31, we had $1.05 billion of debt, $221 million of cash and available liquidity of $493 million. Our consolidated net leverage ratio for purposes of our bank covenants was 2.78 times. Our average cash interest rate was approximately 5% and we had fixed interest rates on over 75% of our debt, so the balance sheet is in great shape. Our liquidity and leverage profile will enable us to be opportunistic in continuing to execute on our robust M&A pipeline. As stated in our press release yesterday, we announced guidance for 2024 and those ranges and relevant underlying assumptions are laid out in our release. At the midpoints, the ranges reflect 18% growth in revenue year-over-year, 21% growth in adjusted EBITDA and 13% growth in free cash flow. Our guidance ranges assume a stable economic environment, but reflect a slightly cautious outlook on C&D volumes. On the top line, our guidance includes $175 million or approximately 14% of acquisition rollover with approximately 4.5% overall organic growth at the midpoint. While we expect to be acquisitive again in 2024, our guidance does not reflect any further acquisition activity. Organically, in the solid waste business, we expect pricing of 5% to 6%, again ahead of inflation, which for us is still running at approximately 4.5%. We retained pricing flexibility across approximately 70% of our collection revenue, so we're well positioned to respond to changing conditions if necessary as the year progresses. Solid waste volumes are expected to be flat to down 1%, with potential weakness in C&D volumes in the landfill and temporary roll-off businesses reflected in that estimate. Bridging 2023 adjusted EBITDA to our guidance, approximately $40 million is acquisition rollover, $5 million is improved performance at the Boston MRF, net of the impact of downtime to retrofit the Willimantic MRF as John discussed earlier, and $10 million to $20 million is base business organic growth. Our adjusted EBITDA guidance reflects 30 basis points to 50 basis points of margin improvement in 2024. Bridging margin from 2023, acquisitions are expected to weigh on margins by approximately 10 basis points. The Boston MRF, net of Willimantic downtime, is expected to add approximately 10 basis points to 20 basis points and organic growth adds 30 basis points to 40 basis points in our guidance, with pricing leverage and our operating programs offset somewhat by softer volumes. We expect free cash -- adjusted free cash flow to grow consistently with our long-term rate of 10% to 15%. We anticipate another year of investing significantly in the business with capital expenditures of approximately $180 million, which includes approximately $20 million for the Willimantic MRF retrofit, $20 million of other non-recurring spend in connection with recent acquisitions and approximately $5 million to complete the initial start-up investment at the McKean Landfill rail project. In closing, this is an exciting time in the company's history as our growth initiatives and operating programs are bearing real fruit and we're well-positioned to continue this momentum into 2024. Now I'll turn it over to Ned to add some further color on our strategic initiatives.
Ned Coletta: Thanks, Brad, and good morning, everyone. 2023 was an exciting year for Casella, as we've continued to execute extremely well against our long-term strategic plan. And this execution is clearly demonstrated in our financial results for the year. This growth was driven by continued execution against our operating efficiency programs, organic revenue growth and pricing initiatives, robust acquisition activity, key development projects and continued investment in our foundational pillars. As outlined by John earlier, we completed seven acquisitions in 2023 and acquired approximately $315 million of annualized revenues, including the expansion of our footprint into the Mid-Atlantic region. Completing the acquisitions was just the starting point and our team has worked very hard through late 2023 and into early 2024 to integrate the newly acquired businesses into our operations, systems and back office. We're tracking well against pro forma for each acquisition and expect to complete the remaining systems and back office integration work in the coming months. Kyle Larkin and our new Mid-Atlantic team are doing a great job executing against our operating plan, while working tirelessly on their critical integration efforts. The GFL team has been super helpful providing transition services and assisting us with successful migration off their systems and thank you to their entire team. Our western region team, led by Michael Stehman, has partnered extremely well with Scott Earl and the Twin Bridges team to quickly advance integration efforts to drive operating synergies and ensure top notch customer service through that acquired region. With the expansion of our operating footprint into the Mid-Atlantic in 2023, we have built our acquisition pipeline to over $800 million and we are positioned well to have another strong acquisition year in 2024. On the development side, we continue to invest in return-driven sustainability infrastructure, including the full equipment upgrade on our Boston recycling facility completed in early Q3 '23. As John mentioned, we're tracking ahead of pro forma with the strong performance driven by higher revenues on additional material recovery, a 35% improvement in productivity that lowered our operating costs and increased our processing throughput. A big thank you to Bob Cappadona and Austin McKnight and the entire team for their excellent leadership managing through a very complex upgrade process. Our team also made great progress on the buildout of the rail offload infrastructure in McKean, Pennsylvania landfill and we expect the facility to be online in mid to late 2024. In this first phase, we're bringing online capacity offload up to 5,000 tons a day of containerized municipal solid waste soils and sludges. We expect this operation to ramp slowly over the next few years as this investment is less about near-term volumes and more about long-term risk management and flexibility as we want to ensure viable waste disposal outlets long term in the capacity-constrained northeast. Finally, we expect our first RNG project at our Juniper Ridge Landfill to be online in the first half of 2024. RKF or BP will own and operate the facility, while Casella generates a royalty stream from the sale of gas and RINs with zero capital investment. This facility will generate roughly 700,000 MMBTUs use per year. As we continue to grow as an organization, we're laser-focused on maintaining our positive culture and value system by investing in and developing our people and ensuring that we have the right people in the right roles. This has been quite an undertaking with our rapid growth. Over the last year, we've welcomed over a thousand new employees to Casella through acquisitions, organic growth and our team did an amazing job effectively onboarding these new team members. Further, we continue to make excellent progress on key technology efforts at Casella, including our program to automate our residential collection fleet, introduce onboard computing in our truck fleet and improve our customers' experience with new digital tools. Sean Steves and the operating teams have done a topnotch job over the last year executing against our operating plan while implementing key operating initiatives. Through the end of 2023, we've automated 56% of our residential fleet with either automated side loader or carado trucks. These efforts are making a positive impact on reducing our cost of service and enhancing our people's safety in the field. The new Mid-Atlantic operations introduced a great additional opportunity to advance fleet automation with only 50% of the residential fleet automated today. We have deployed onboard computers in approximately 70% of our 1,400 truck fleet and we expect to make additional progress in 2024. The OBCs are enhancing our safety profile on the road, creating additional revenue opportunities, digitizing things like route sheets and automating important data collection used for our operations teams and our customer reporting. Kevin Drohan, our CAO, and Keith Landau, our new CIO effectively partnered to launch a new customer payment portal in 2023, marking an important step in our efforts to further digitize and improve our customer experience. We plan to continue to invest in this key area of strategy to ensure our customers have the right tools in the coming years to manage their services and access key data intelligence. Looking to 2024, we believe we have a strong opportunity to continue to execute in the key areas to drive further shareholder value and profit growth. And with that, I'll turn it over to the operator for questions today.
Operator: Thank you. And at this time, we'll conduct a question-and-answer session. [Operator Instructions] Our first question comes from line of John Mazzoni from Wells Fargo. Your line is open.
John Mazzoni: Good morning. Maybe could we just touch on...
John Casella: Good morning.
John Mazzoni: Yes. Thanks, guys. Could you just quickly touch on some of the trends you're seeing within the disposal line, specifically around the volumes? I think we've kind of understood a lot of the Northeast dynamics here. But as we think about pricing on that kind of line item, what are you seeing in terms of tipping fees and other types of kind of early indicators for '24 and how should we kind of think about not only the cadence, but also any kind of step-downs or other types of items that might kind of impact the model? Thanks.
Ned Coletta: Yes. So overall, the same trends are going to continue in the Northeast. We've had sites closed, and we expect additional sites to permanently close over the coming years. But what's happening and what's happened over the last several months and into early '24 is as certain sites approach the end of their life, they want to just fill them up and they might even hold price steady or look for additional volumes. And we see this a bit with one of the large construction and demo debris sites that's going to close in the next year plus, and they're kind of sprinting to the end of the line. As such, we've seen a little pressure on the construction and demo side of volumes, but things are stable to positive, both in MSW, contaminated soils. On the pricing side, we've entered 2024 with a robust pricing plan at the landfills, kind of high-single digits again, and it's been well received in the marketplace. These price increases are well justified. Our inflation continues to run high on the landfill development side, capping, closing, regulatory environment continues to get more and more complex, and we need to get those costs back to the marketplace. So that softness in C&D, it's probably a little bit less about the economy in the Northeast than it is about just that rush for someone to close their site, get it buttoned up, and then you'll see the other side of that with some additional tightening in the market coming in '25.
John Casella: It clearly bodes well for the next three to five years in terms of how we're looking at pricing for our disposal capacity. That disposal capacity is really worth more on a year-over-year basis. So, we're pretty excited in terms of the position that we set over the next three to five years from a landfill pricing perspective. And also in addition to that, we also, as many people know, have invested the capital to make sure that our McKean facility is up and operational. We don't anticipate significant ramping in 2024 at all, but the facility is up and will be up and operational at the end of this quarter.
John Mazzoni: Got it. Good color. Thank you. And maybe just a quick one on that inflationary kind of trend, it was helpful to kind of get that base rate. But as we think about the price cost spread in '24, could you just outline some of the main drivers between kind of what you're seeing on the inflation side and outside of kind of fleet, other types of kind of one-time items and also if you could quantify any potential kind of uptick or kind of tailwind from the commodity prices? And I think we kind of understand that you guys have less exposure on that side, but just anything in terms of kind of those inflationary buckets would be very helpful. Thanks.
Brad Helgeson: Yes, it's Brad. So inflation remains stubbornly high. The company reported inflation north of 5% last year. We've seen that kind of trend down, but gradually in the fourth quarter, we were running just under 5% and looking at 4.5%. It really is across the board. We're seeing particular -- particularly stubborn inflation is in outside repairs. Ned alluded to this a second ago, the cost of relating to the landfills, those are up really across the board. Tires, that's a notable one. Labor is probably pretty consistent with our overall inflation rate. So we're not really taking a view at this point on further material moderating of that number. We kind of assume more or less where we are for the balance of the year. Based on that inflation number, we're targeting 5% to 6% price growth as we said earlier, that's across collection and disposal in the solid waste business. So looking to plus or minus maintain that 100 basis point spread if we can. And commodities, you asked about commodities. And as you mentioned, our model is such that the commodity prices don't impact us actually that much either way. But commodity prices look like they're going to be up certainly year-over-year, and the beginning of the year is bearing that out so far.
John Mazzoni: Great. Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Tyler Brown from Raymond James. Your line is open.
Tyler Brown: Hey, good morning.
John Casella: Hey. Good morning, Tyler.
Tyler Brown: Hey, first off, Brad, great to hear your voice again on a conference call. But, hey, I just wanted to get a little bit more color on the veneer failure. So kind of a multi-part question. But one, John, have you had a slide like this before? Two, I may have missed it, but what was the determined root cause? Was it too much sludge or precipitation? And then three, it happened later in the quarter. So should we expect a spillover of expense into Q1?
John Casella: Let me -- I'll talk a little bit about the veneer failure. The veneer failure really was stopped by the transportation roads that we had in the facility. And again, as Brad said, no one was hurt. It was a non-issue. It was all done by third parties. We're going through that from a practical standpoint with a third-party contractor, with the engineers to make a determination as to what caused it. It could very well be gas. There's a couple of different perspectives at this point in time, Tyler, but we haven't had the report yet. And we'll obviously go through that in detail and try to make sure that we understand on a go-forward basis what additional steps we need to take to make sure that we preclude it from happening in the future. Maybe Brad, I think that we're...
Brad Helgeson: One additional point there. It's the soil on top of a synthetic cap that slid down a slope, basically. So there was nothing exposed inside the landfill, no damage to the landfill itself, but it needed to be pulled down and then rebuilt.
Tyler Brown: Okay. No lingering cost?
John Casella: We don't believe so at this point in time. That's correct. We're doing more evaluation, Tyler. But at this point in time, we don't believe there'll be any additional costs or any additional work that we're going to need to do.
Tyler Brown: Okay. Okay, great. And then I got a few -- it's kind of another multi-part question on cash flow. So I think you mentioned that you only have $5 million slated for McKeen. So is that spend basically winding down at this point? Number two, there was a $6 million legal settlement payment that you're expecting in '24. What was that? And then three, when does the Southbridge and Potsdam remediation start to sunset? I know that's a multi-part question. I'm sorry about that. But those are the questions.
Ned Coletta: So in regards to McKean, we are nearly wrapped with this first phase. We've put in almost a mile worth of spur track switches, a gantry crane offload infrastructure to take off containerized solid waste and containerized soils and sludges. So we're building out the infrastructure to be able to turn on facility up to 5,000 tons a day to 6,000 tons a day. As I said earlier, we don't expect to ramp rapidly. This is long-term risk management for the Northeast, as we look at the risk of other sites potentially closing over time. We'll look to kind of slowly ramp this up. It's not going to be material in our numbers in 2024. The $5 million kind of stepping into '24 is just some of the remaining track work, a little bit more switch work, some of the heavy equipment showing up, articulated trucks with rail systems to take the containers up onto the working face of the landfill. So it's mainly wrapped up. If we were to ever invest to take construction demo waste at the landfill, we would have additional investments. At this point in time, it's not really in the near-term game plan for our strategy at the site. The $6 million charge that we took back in, I think, the second quarter or -- second quarter in relation to the fair labor standards action -- class action lawsuit, that money we expect to go out the door in the first quarter of 2024. And what happened here was there was a class action lawyer who contested that certain of our employees worked through their DOT mandated lunch breaks. We had clear policies, clear standards in the organization that, that wasn't supposed to ever happen. Our employees do truly need to take lunch breaks. But in retrospect, our documentation, our systems maybe weren't as great as they could have been for court of law. So we decided to settle with such attorney. And much of that money will go to our employees, our drivers, who were part of the class. So we've done a lot of introspection and change processes and procedures to ensure that our people truly are taking those breaks. And we have the right documentation placed into the future. So it's a culmination of...
John Casella: Yes. And it's also -- Tyler, it's also consistent. The class action attorneys really have targeted the industry.
Ned Coletta: Yes. This is not a Casella one-off situation, John. You're right. So the Potsdam remediation is complete. There's some kind of continuous monitoring into the future. But that Superfund site was fully cleaned up. The other joint parties made investments as well. We're really at the end of that. Southbridge, you know, painfully, we've been working on the final closure approval with the state of Massachusetts for several of years now. The site's in great shape. We're ready to enter the post-closure phase. We've done vast majority of investment at the site to get it to that phase and we just haven't gotten that final regulatory approval and we're working hard to get that, Tyler.
Tyler Brown: Okay, great. Yes. Thank you so much. I know that was a multi-part question. Okay, I want to turn to New York. So I know you don't haul in New York, but I'm just curious if you have any thoughts on the recent zone awards there. Do you think that that impacts you at all? And I know that while you don't and you likely won't haul in that market, would it ever make sense to possibly open rail access transfer station in that market to maybe help clear some of those tons to McKeen?
Ned Coletta: Yes. So, New York City completed the waste zones and made the awards. And as you correctly point out, we do not directly participate in New York City. We have historically had some customers that transfer waste out of New York City to our landfills in upstate. And we continue to have some great customers in that market. We didn't enter -- it's not a market. It's a real focus for us. However, we will continue to work with some of the transfer stations that have won awards, and there may be some opportunity to rail waste to McKeen. Those awards were for 10 years with 10-year renewals at the discretion of New York City. And we do have one of the closest sites to the city with a lot of capacity. So it is a great opportunity for us.
John Casella: I would only add, Tyler, when you look at that, I think 14 of the 20 franchises were awarded to interstate -- action interstate. And they have their own facilities and they're rail served. So it's very likely that a very large portion of that waste will go to their facilities. I think we will be -- we will have an opportunity as an alternative in terms of the overall disposal capacity in the city. And certainly, there are transfer stations that we're working with right now that will be able to continue into the future. But again, got to keep in mind that a good portion of that franchise waste is with interstate.
Tyler Brown: Yes, very interesting. My last one, it's kind of in the same vein. And you talked about it a little bit on the first question, but it does feel like rail capacity continues to ramp in the Northeast. Are you seeing any measurable impact on disposal pricing broadly?
Ned Coletta: Yes. Well, one of the things we've seen, I mentioned this with the one construction and demo debris site that's reaching end of life in Long Island, and also with some of the ramp-up in rail activity in the Northeast. It kind of ebbs and flows, right? So a site comes offline in the Northeast, there's a capacity crunch. Then some new capacity comes through, rail or other alternatives. You see a little bit of a tailing off of volumes, but frankly, that really hasn't impacted our view on pricing or maybe even other market participants because of the inflationary backdrop and just some of the complexity around new and emerging regulations and costs at site. So you see that a little bit with the volumes, as we said, with construction and demo right now. But it doesn't change our outlook on how we're going to run these sites for the long-term returns. We have to be laser-focused on 10-year returns at these sites.
Tyler Brown: No. Okay, perfect. Thank you guys so much for the time.
Ned Coletta: Thanks, Tyler.
John Casella: Thanks, Tyler.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Michael E. Hoffman from Stifel. Your line is open.
Michael Hoffman: Hey, gang. How are you doing up there?
John Casella: Good, Michael. How are you?
Michael Hoffman: Can't complain. Although we're going to get the snowstorm that you were supposedly going to get now, which could you take it?
John Casella: No. That's not good. We're much more prepared to take that snow than you are down there for sure.
Michael Hoffman: So if we could dig into -- I'd like to talk about volume from a perspective of good volume versus bad volume and purposeful shedding. And good volume to me is MSW, small container business, large container permanent versus bad volume is low quality margins. How do you frame your outlook about those trends? Because I think that's a better story than we might be negative volume in the aggregate.
Ned Coletta: Yes. That's a great point, Michael. I mean, we didn't get too much into the lease and Brad mentioned it where if you look at our volume decline in the fourth quarter, it really was highlighted in two areas, construction and demo debris at the landfills that we just discussed. And then on the hauling side, it was a little bit of roll-off on the C&D side and a little bit of residential work. And when we look at that, it was some of our lower margin work, especially on the residential side, we've been laser-focused on making sure we have the right customers, right price. Labor has been a challenge the last couple of years, truck availability. So we're really focused on making sure we get the right return on each stock we have. So some of its purposeful shedding. We're trying to get customer segments up to a certain margin point, and we're not willing to accept lower than that. On the construction and demo side, probably a little bit of slowing into the fourth quarter. We always see that, I think in the Northeast a little bit more slowing there than maybe some other parts of the country. Starting out 2024 in a pretty solid area in that regard, nothing with further sequential declines.
Michael Hoffman: Okay. So the other part of volume and tying it to Tyler's rail commentary. Two big competitors on the collection side moved a lot of volume out of the market away from the burners in the fourth quarter. And there was a temporary impact to spot prices as the burners scrambled to fill, because their -- basically their volume is an airplane seat. If they don't get it, they can't backfill it? What is the state of the spot market today? My impression, our surveys say the spot markets recovered that they figured this out even in the seasonally week period. And that's another statement about the quality of underlying unit pricing in the disposal market, regardless of volumes.
Ned Coletta: Yes. So, we don't take a lot of tons at our landfills per se by spot price. We definitely have pretty long-term strategic relationships with various haulers, or we have our own flows of waste, but we take advantage on the other side. We do a lot of work with the burn plants in the Northeast, and we've been able to renew some great contracts across our footprint and also take advantage of some of those lower spot prices. And we'll always be in the camp of if we can bring waste at the right price point to a third-party site and maybe take advantage of a price point like that save our long-term landfill capacity for later, we'll make that decision. We -- there's so much tension long term.
John Casella: Historically also, Michael, as you know, we -- we're more than happy to fill that spot capacity and would enter into those agreements to fill that spot capacity for the incinerators in the wintertime. And we have a little bit of that ongoing. But it could be more significant in terms of our ability to help stabilize that through the course of the winter.
Ned Coletta: Yes, Brad had a number in his script. It's actually important there. So Brad, our average price per ton at the landfills was up, I think, close to 10%,10% in the quarter. So I mean, that just shows -- and that's the average across our tons going in and third party tons.
John Casella: It's the function of how we're managing the disposal and the mix of wastes going in, right, so…
Ned Coletta: We're not lowering for spot pricing there.
Michael Hoffman: Okay, that's good to know. And then I think we can all agree that probably inflation is going to end at a higher low than it was the prior 15 years. And none of that should frighten you because you can price. The more important comment and it's a question at the same time, there's no risk to unit prices and you can manage your underlying cost of inflation and you can price accordingly. So whether we stay with structurally higher, you're going to be able to price it through and there's no risk to unit price.
John Casella: That's correct.
Michael Hoffman: Okay. A - John Casella No risk.
Michael Hoffman: No risk. And then just to be clear on the [Multiple Speakers]
John Casella: Particularly, with our book of business -- particularly with our book of business, because of the small amount of municipal contracts that we have, we have the capability to offset inflation.
Michael Hoffman: You have a high percent that is open market access to price.
John Casella: Right.
Michael Hoffman: And then the landfill liner failure is not a slope failure, like...
John Casella: It was not a liner -- Michael, it was not a liner failure. So when you cap a facility, you put a cap over the top of the existing waste and then synthetic cap, and then on top of that goes the soils, and that's where the veneer failure was. It wasn't a failure of a liner. It was just simply a failure of the cap, the synthetic cap, the dirt over the synthetic cap slid.
Michael Hoffman: Right. And just to be very clear [Multiple Speakers] yes, but there is a peer company out there that had a true slope failure, advanced disposal had one several years ago. This is not a slope failure, just to be clear for everybody, it's not disrupting revenue, blah, blah, blah. Okay.
John Casella: No, not at all. Didn't disrupt the operations of the facility.
Michael Hoffman: Okay.
John Casella: And there was no action from a regulatory standpoint.
Michael Hoffman: Okay. And then lastly, the New York City, I think we have to talk about that in two different types of waste. There's a commercial waste, which is what the franchising is about and then there's residential. What are you most sensitive to as an opportunity? Because I think that commercial volume pretty much had homes before they were franchised. And maybe there's a little bit movement, but for the most part, it all had a home where the residential volume seems like there's more opportunity to take advantage of where they want to move that.
Ned Coletta: Yes. As we've said before, I mean, we've had a number of commercial customers coming out of the city to our sites in New York for years, Michael, and those flows are pretty steady. And several of those partners have won contracts in this wave as well. So we don't see anything that's a major plus or minus here for Casella in our interactions. There's maybe a little bit of new rail capacity. It's getting looked at in the city. That could be an opportunity, but that's about it from our vantage point.
Michael Hoffman: Okay. Thank you very much.
Ned Coletta: Thank you, Michael.
John Casella: Thanks, Michael.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Adam Bubes from Goldman Sachs. Your line is open.
Adam Bubes: Hi. Thanks for taking my question. I think you mentioned the acquired businesses in 2023 have come in at slightly lower margin pre-synergies than the existing standalone business. Can you just elaborate that -- on that a little more? How much lower are margins coming in? And can you just update us on progress integrating Twin Bridges and GFL assets, any major surprises?
Brad Helgeson: Yes. Hi, Michael, it's Brad. So I mentioned that they're coming in at a lower margin. I'm really talking a slightly lower margin to the tune of, I think it weighed 5 basis points on margins in the fourth quarter. So I think really we view this as very quickly an opportunity as we start to integrate the businesses, continue to integrate the businesses and capture the synergies. This will become a margin tailwind pretty quickly.
John Casella: And I think the -- probably the most significant aspect of those transactions, both of them, GFL and Twin Bridges, no real surprises, Adam. We were able to -- I mean -- and the relationship that Ned has built with GFL and Jason, the entire team, the transition has gone well. Scott Earl, as Ned said earlier, is working with our folks to really rethink routing and do the things from an integration standpoint that we need to do as quickly as we can. So we're really excited about it. No surprises. If anything, the surprises are on the upside in terms of the participation from both companies and also from Scott in terms of looking at re-routing the opportunity to really create the value that Brad's talking about. That is going to be a tailwind for us shortly. Margins also were not a surprise for us either. So they were a little bit lower, but that's not a surprise either.
Adam Bubes: And then can you just talk about how much of the targeted synergies are you expecting to realize in 2024? So can you just help us understand the margin ramp of these assets from here?
Ned Coletta: Yes. So we had in the Mid-Atlantic about $8 million of synergies being recognized over three years, and we'll get about a third of that from thereabouts in the first year in the Mid-Atlantic and with Twin Bridges in the capital District, we had about $4 million of synergies recognized over three years, and we're probably tracking more to like 50% of that in the first year. We've had some really excellent progress on some early consolidations and we're feeling great about that. And probably a little upside there as well over the three-year period.
Brad Helgeson: Yes. And that's baked into the margin expansion that's reflecting our guidance and kind of stepping back. If you add up the synergies for all the deals that were done last year, and I talked about the opportunity as we go forward, it's about 100 basis points in total over time. So we'll get some of that this year.
Adam Bubes: And during the GFL and Twin Bridges asset integration period, how are you thinking about the level of M&A you folks can sustain over the next 12 months? And how do higher interest rates change how you're thinking about funding M&A?
John Casella: Well, let me take part of that for you, Adam. I think that from an integration standpoint, we couldn't be more happy with the Mid-Atlantic team that Kyle Larkin has put up. And keep in mind, he ran those assets for some of our competitors before coming on board with Casella. So he's built out an entire team for the Mid-Atlantic. The integration is going extremely well. Same thing with Twin Bridges, that's going extremely well as well. So I don't think that the integration of GFL or Twin Bridges is going to have any impact on us on a go -- I mean, 2024 from an M&A standpoint. We still have significant work to do from an integration standpoint. But from a practical standpoint, we have very significant opportunities for continued growth. We've been able to demonstrate the capabilities to integrate those businesses, very significant amount of M&A, and at the same time bring down lower our safety record, lower turnover. So I think that we did a lot of work over the last year, really looking at where are our weaknesses. We've approached most of those weaknesses. We've hired the people that we needed to in terms of some of the back office challenges of the growth that we've had. So we're pretty excited about where we sit and looking forward to 2024.
Adam Bubes: And on the interest rate side, Brad, you want to hop in, I mean, it's not a concern for us given.
Brad Helgeson: Yes, we're over 75% fixed. So...
John Casella: I think that -- the only thing that it does do is it may change how Ned looks at the financials and how we're looking at. It may have some impact in terms of how we're modeling acquisitions. Probably not. It probably has more of an impact in terms of creating more pressure on independents to sell their businesses.
Ned Coletta: Yes. And we've got close to $500 million of liquidity right now, both through cash. We've got $220 million of cash. We've got liquidity on our revolver. So we're in a really good position to put money to work for shareholders with positive returns. And to John's point, I mean, we've got a lot of work we're doing on integration. So it really causes you to look towards quality, strategic fit and everything that's in our near-term pipeline this year is super high quality. Great overlaps, great fit. We're excited about the near-term pipeline.
John Casella: Yes. And I think that, quite honestly, Adam, we've stayed very disciplined in terms of making sure that it's a high quality acquisition to integrate into the company and you don't really hear much about the M&A that we pass on.
Adam Bubes: Great. I appreciate the color. Thanks so much.
John Casella: You're welcome.
Operator: Thank you. And as of now, there's no one left in the queue. But we will take a brief pause for anyone to queue up. I'm showing no one in the queue. I'll turn it back to John Casella for any closing remarks.
John Casella: Thanks everyone for joining us this morning. Hope you all have a great holiday weekend. Look forward to discussing our first quarter 2024 earnings in April. Thanks, everybody. Have a great day and a great holiday weekend. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.